Operator: Hello, everyone and welcome to PubMatic’s First Quarter 2023 Earnings Call. My name is Catherine and I will be your Zoom operator today. Thank you for your attendance today. The webinar is being recorded. I will now turn the call over to Stacie Clements with The Blueshirt Group.
Stacie Clements: Good afternoon, everyone and welcome to PubMatic’s earnings call for the first quarter and year ended December 31, 2022. This is Stacie Clements with The Blueshirt Group, and I will be your operator today. Joining me on the call are Rajeev Goel, Co-Founder and CEO; and Steve Pantelick, CFO. Before we get started, I have a few housekeeping items. Today’s prepared remarks have been recorded, after which Rajeev and Steve will host live Q&A. If you plan to ask a question, please ensure you’ve set your Zoom name to display your full name and firm. If you would like to ask a question, please use the raise hand function located at the bottom of your screen. A copy of our press release can be found on our website at investors.pubmatic.com. I would like to remind participants that during this call, management will make forward-looking statements, including, without limitation, statements regarding our future performance, market opportunity, growth strategy and financial outlook. Forward-looking statements are based on our current expectations and assumptions regarding our business, the economy and other future conditions. These forward-looking statements are subject to inherent risks, uncertainties and changes in circumstances that are difficult to predict. You can find more information about these risks, uncertainties and other factors in our reports filed from time-to-time with the Securities and Exchange Commission, including our most recent Form 10-K and any subsequent filings on Form 10-Q or 8-K, which are on file with the Securities and Exchange Commission and are available at investors.pubmatic.com. Our actual results may differ materially from those contemplated by the forward-looking statements. We caution you therefore against relying on any of these forward-looking statements. All information discussed today is as of May 9, 2023 and we do not intend and undertake no obligation to update any forward-looking statement, whether as a result of new information, future developments or otherwise, except as maybe required by law. In addition, today’s discussion will include references to certain non-GAAP financial measures, including adjusted EBITDA and non-GAAP net income. These non-GAAP measures are presented for supplemental informational purposes only and should not be considered a substitute for financial information presented in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measures is available in our press release. And with that, I will now turn the call over to Rajeev.
Rajeev Goel: Thank you, Stacie, and good afternoon everyone. Our focused strategy, strong execution, and deep customer relationships drove revenue in the quarter significantly above expectations. Underscoring the strength of our model and our continued focus on efficiency and infrastructure optimization, the majority of incremental revenue dropped to the bottom line, driving stronger than expected adjusted EBITDA, net income and free cash flow. Our results reinforce the value of our platform, our ability to manage through the current environment, and how we are positioned to continue to capture market share despite the economic uncertainty. While we saw sequential improvement through the quarter, it’s too early to say if the ad spend environment has troughed and whether the pronounced uptick we saw in March will continue. We therefore remain cautious with respect to our outlook and investment decisions. A key element of our strategy is to leverage our business model and strong degree of profitability to make targeted investments that position us for outsized market share gains when ad spend growth reaccelerates. We believe the current environment is accelerating consolidation in our industry and will benefit companies like PubMatic that are global, scaled and profitable. Macro pressures have driven publishers to prioritize their highest margin revenue streams such as programmatic advertising and increase their reliance on global, omnichannel technology providers to manage a greater portion of their ad tech stacks. The pace of new publisher agreements remains strong. We signed over 65 new publishers in the first quarter. We now have nearly 1700 publishers and app developer customers, up 14% from a year ago. We expect to grow our roster of customers and increase stickiness with them in this environment. This is particularly true for our omnichannel video segment, which is a key growth driver. The omnichannel video market is expected to be a $215 billion market this year. A subset of omnichannel video, CTV is expected to be a $65 billion market this year. Publishers are increasingly adopting programmatic monetization strategies in order to tap into growing ad budgets that they previously were not accessing. As a result, our CTV revenue was up over 50% year-over-year in Q1. We are accelerating the pace of new business growth in CTV. We saw a 10% increase in our CTV publisher customer base over Q4 to 237 publishers. Driving this is the growing recognition within the media and advertising industry of the advantages of programmatic CTV. Automated transactions are more efficient and data-driven than traditional buying methods, delivering higher ROI to advertisers and revenue gains to publishers. PubMatic has been a leader in providing programmatic technology for more than a decade and we have seen this trend play out time and again across formats and channels. I believe that we will look back on this period as the turning point that structurally changed the nature of CTV advertising towards more programmatic monetization. At the same time, we are growing our existing relationships with premium streaming content providers as we provide the ability to both monetize their inventory and leverage their valuable first-party data. For instance, PubMatic helped A+E Networks grow its programmatic business by passing valuable data in the bidstream such as content genre and channel, making it easier for advertisers to reach their target audiences across A+E’s properties and drive campaign ROI. We have recently expanded our partnership with iQIYI, one of the largest online entertainment companies in China, who implemented our OpenWrap OTT unified bidding technology to provide global advertisers more efficient and effective access to the company’s streaming inventory. The breadth of our publisher base makes us a scaled provider in the CTV market. We are working with 6 of the top 7 global smart TV providers that have ad-supported streaming services, 4 of the top 8 major addressable broadcast video on demand streaming platforms in the U.S. and 5 of the top 8 free ad-supported TV streamers in the U.S. We also work with all of the top five addressable broadcast video on demand platforms in both Australia and Japan, two of APAC’s largest CTV markets. We are seeing OpenWrap, our Prebid based wrapper solution, drive increased stickiness for publishers across channels and formats. Originally launched in 2016, over the last few years we have diligently broadened the footprint of OpenWrap to cover all leading ad formats and platforms including CTV, mobile app, and web, as well as video, display, and soon-to-be-launched native making us one of only a few scaled providers with a comprehensive, Prebid-based software solution across all major formats and channels. Over the last several quarters, we have seen a surge in adoption of our wrapper solution as publishers increasingly abandon their homegrown Prebid wrappers or alternative solutions for PubMatic’s OpenWrap. OpenWrap is now a critical component of publishers’ ad tech stacks and central to their operations teams. Overall, signed OpenWrap agreements grew 27% YoY for Q1 as more publishers opt for the performance benefits and customer service PubMatic provides. In the case of online car shopping site Edmunds, although they already had a header bidding solution, they were seeking an alternative that could give them more control over their yield management. After switching to OpenWrap, they not only saw an average eCPM uplift of 35%, but also identified that the trusted header bidding expertise of the PubMatic team was critical to their success. We also continue to deepen our buy-side relationships, where consolidation is most evident as agencies and advertisers lean into scaled and transparent technology providers that can help them increase operational efficiency and innovation. Supply Path Optimization expanded throughout Q1 and represented over 35% of activity. We have been able to leverage our profitability to deepen buy-side relationships, investing in our team and technology to offer a single integrated platform that delivers value to our customers. Plus, as we anticipated, the macro environment has been an accelerant for SPO, as major advertisers and agencies seek to improve return on ad spend and streamline their operations. Our existing SPO buyers continue to consolidate more of their business on PubMatic. Five of the six global agency holding companies grew their SPO spend with PubMatic by 20% or more sequentially from February to March. Even with the significant gains we have made in SPO, we see a long runway of growth ahead. In the past quarter alone, we have seen an over 80% increase in buyers interested in engaging in SPO with PubMatic for the first time and now have an active pipeline of several dozen buyers. Long-term, we believe there are hundreds if not thousands of buyers that we could engage in SPO with globally. The consolidation we have seen across our industry has resulted in the rapid evolution of the advertising supply chain and we believe the industry is at an inflection point. It’s becoming increasingly difficult for publishers and buyers to stay ahead of the curve, requiring significant investment and expertise. As such, we have focused our innovation investments in two areas, both of which expand our addressable market and will create durable long-term growth, Supply Path Optimization and commerce media. Yesterday, we announced Activate, an SPO solution that we have been working towards over the past 18 months and which leverages our recent acquisition of Martin. Activate is an end-to-end SPO solution that enables buyers to execute non-bidded direct deals on PubMatic’s platform, accessing CTV and premium video inventory at scale and unlocking unique demand for our publishers. This groundbreaking solution introduces a new industry paradigm for the supply chain of the future. PubMatic has taken an infrastructure-driven approach to solving some of the industry’s biggest challenges that, historically, have prevented billions of dollars of insertion orders from entering the programmatic ecosystem. Our single layer technology approach does away with data leakage, discrepancies, multiple hops in the supply chain, opacity, and high aggregate fees associated with having multiple technology providers like SSPs and DSPs. In 2023, approximately $35 billion, or almost 60%, of CTV spend is expected to be transacted via IOs. Direct IOs also account for more than $27 billion, or approximately 18%, of online video spend. By providing a path to bring these direct dollars to programmatic, Activate represents a nearly $65 billion expansion of our total addressable market. With Activate, our SPO solutions become even stickier. We expect buyers who use Activate will benefit from greater control over their supply chain and increased ROI. Publishers will benefit from increased revenue. Over the last few months, as we have engaged with prospective Activate customers, I have been blown away by the magnitude of interest in the solution, which validates our vision and roadmap as well as PubMatic’s market position as a partner of choice. We have seen strong interest among agencies, advertisers and publishers in every major region and across verticals and buyer size, including global advertiser Mars, agency holding companies, dentsu, Havas Media Group, GroupM and Omnicom Media Group Germany, and CTV publishers Fubo and LG. As a key launch partner for Activate, GroupM is further expanding its SPO relationship with PubMatic. The GroupM Premium Marketplace, an initiative that provides GroupM clients with direct, transparent and efficient access to CTV and online video inventory, is built on PubMatic technology and will now extend to Activate. With Activate, GroupM clients can buy GroupM Premium Marketplace inventory on a guaranteed basis in a more efficient and direct manner, with less costs involved in the supply chain. It is also an opportunity for them to bring clients who heavily rely on direct IOs into the programmatic ecosystem. As a result, GroupM intends to improve their clients’ working media and ultimately generate better outcomes. To be clear, Activate is not a demand side platform. Our industry already has a number of scaled DSPs. PubMatic is not offering a bidder, bid optimization, creative optimization, or a variety of other services that are core to the value proposition of a DSP. As I mentioned, Activate is specifically designed to transition non-programmatic insertion orders for CTV and online video into non-bidded programmatic buying transactions. PubMatic already has a strong foundation in programmatic guaranteed and private marketplace deals and Activate further expands this opportunity. For PubMatic, we expect to see significant strategic and financial benefits, including Activate being a catalyst for faster CTV and online video growth over the medium-term as well as an accelerated mix shift toward more premium omnichannel video formats, resulting in higher gross and net margins. Activate also facilitates greater stickiness with buyers which increases revenue visibility and greater stickiness with publishers allowing them to access unique ad dollars only available via the PubMatic platform. As we bring more advertiser spend to our platform, we are also unlocking opportunities to further scale other areas of our business, such as retail or commerce media. Commerce media expands on the retail media opportunity set to include not just retailers, but a wide variety of transaction-based businesses like transportation or food delivery providers, travel and event providers, fintech companies and more. We continue to grow our existing customers like Kroger Precision Marketing, providing the technology and solutions to enable them to activate their retail audiences across PubMatic’s CTV, video and display inventory. We are also growing our footprint with additional commerce businesses that have high transaction volumes and valuable data. Over the past quarter, we have had several new customer wins such as Lyft and Tripadvisor, who are using our growing suite of onsite monetization solutions to help grow their commerce media businesses. This is a tremendous growth opportunity for us, with an estimated market size of more than $120 billion. Data access and control are key areas of importance for commerce media, both areas where PubMatic already has market leading solutions. In addition, we have the financial profile to make focused investments in technology that specifically aligns to current and future commerce media needs, such as audience extension, on-site multi-format monetization, and operational efficiencies to help commerce media companies scale their businesses further. Operating under a similar playbook as we did with SPO making focused investments that lead to market expansion and high revenue growth we believe our strategy around commerce media will have similar returns. I look forward to sharing more with you in the coming quarters. Our execution over the course of the quarter reinforces the value of the PubMatic platform within the digital advertising ecosystem and our ability to continue to consolidate the market as advertisers seek alternatives to the walled gardens. We are rapidly growing the platform with new publishers and buyers and creating greater stickiness with existing customers. Our omnichannel platform, global scale and strong financial profile are key differentiators and enable us to rapidly expand our addressable market. We will continue to prioritize long-term growth opportunities through highly focused investment, which we believe will drive outsized market share gains and greater shareholder returns. I will now turn the call over to Steve for the operational and financial details.
Steve Pantelick: Thank you, Rajeev and welcome everyone. Revenue in the first quarter was $55.4 million, above guidance a0nd plus 2% on top of last year’s growth rate of 25%. Importantly, year-over-year results improved each month through the quarter. With our focus on execution and efficiency, the majority of our revenue outperformance dropped to the bottom line. Adjusted EBITDA was $8.4 million or 15.1% margin. We also continued our long track record of cash generation with $12.8 million in net cash from operating activities and $5.3 million in free cash flow. Against a backdrop of challenging macro conditions, we delivered against the core objectives we have laid out last quarter: deepening our publisher and buyer relationships, driving omnichannel revenues, achieving incremental efficiencies from our owned and operated infrastructure, and investing in high value product innovation. As I mentioned on our last call, January revenues started off slowly, particularly in display and online video, but we saw sequential improvements into February. Trends further improved into March across all our key formats and channels. For the quarter, revenues from omnichannel video, which span across desktop, mobile, and CTV devices, represented approximately 30% of total revenues and grew 13% year-over-year. Within this category, CTV revenues increased by over 50% year-over-year. As anticipated, display revenues, comprised of mobile and desktop channels, continued to be soft throughout the first quarter, but showed monthly sequential improvement and came in slightly better than expected at minus 7.5% versus Q1 last year. This was an improvement over Q4. From a regional perspective, EMEA continued its strong performance throughout the quarter and grew double-digits year-over-year. Americas’ revenues were down less than 1% compared to Q1 2022 and improved each month in the quarter. Sticky customer relationships drove healthy multi net dollar retention rates. On a trailing 12-month basis, publisher net dollar retention was 105%. As a result of our global go-to-market efforts and targeted investments, we continued to expand our Supply Path Optimization relationships which accelerated to over 35% of total activity on the platform. Similar to our publisher strategy, once we land new SPO relationships, our Ad Solutions team works closely with buyers on detailed growth plans across formats and geographies. Viewed through the same retention lens as publishers, the net spend retention rate for SPO buyers with at least 3 years of spending was 116% on a trailing 12-month basis. Our ad vertical diversification again proved to be a valuable asset for us in Q1. Food & Drink, Health & Fitness, and Travel in aggregate, increased over 30% year-over-year. This growth helped offset declines in Technology, Arts & Entertainment and Hobbies. The Shopping and Personal Finance verticals ended the quarter in line with Q1 last year. In total, our top 10 ad verticals grew year-over-year. Overall, our business is in excellent shape. For an extended period of time, our strategy, execution and global scale has enabled us to deliver positive adjusted EBITDA for 28 consecutive quarters. We have also generated cash from operations every year for 9 straight years. And since going public in December 2020, we have generated over $90 million of free cash flow. With our long-term focus on profitability and cash flow, we take a nimble approach to managing our business. We have put in place multiple initiatives to drive productivity across our teams and lower operating costs. For example, we have realigned our global customer success team to ensure appropriate support relative to customer needs and business opportunity by market. This effort is supported by a specialized client team based in India. Over the long run, our owned and operated infrastructure has allowed us to achieve significant operating leverage and control, which consistently delivers efficiencies for us and great outcomes for our customers. With this control, we are proactively managing our CapEx lower in 2023, beyond what we originally planned. Our optimization efforts are already ahead of schedule and we anticipate improved gross margins later this year and next. In Q1, we processed over 46.5 trillion impressions on our platform, an increase of 43% year-over-year. On a trailing 12-month basis, we reduced our unit costs by 16% year-over-year. In addition to our capacity optimization work that’s expanding total throughput, we are also making progress in using this capacity for the highest value display and video impressions. Taking our various optimizations and positive mix trends together, we anticipate lower CapEx spend in 2024 relative to revenue growth. Our Q1 gross margin was 57%, ahead of expectations. As a reminder, our cost of revenue includes depreciation from prior year capacity build out and third-party hosting costs, which are largely fixed in the near-term. We anticipate improving gross margins each quarter through the calendar year. Q1 GAAP OpEx was $42.2 million or 32% increase year-over-year. Included in this total were incremental costs of $2.8 million related to our Martin acquisition and $2.5 million related to our January in-person global sales conference. Excluding these incremental costs, operating expenses increased 15% year-over-year. GAAP net loss was $5.9 million or minus 11% net margin. Q1 non-GAAP net income, which adjusts for unrealized gain or loss on equity investments, stock-based compensation expense, acquisition-related and other expenses, and related adjustments for income taxes, was $0.9 million or 2% of revenue. Q1 diluted EPS was $0.11 and non-GAAP diluted EPS was $0.02. Turning to cash, we ended the quarter with $173.2 million in cash and marketable securities and no debt. We generated $12.8 million in cash from operations and $5.3 million in free cash flow. Our consistent cash generation enables us to invest in key areas for long-term growth and market share gains. As of April 30, we have repurchased 1.1 million shares of our Class A common stock for $15.4 million in cash. We have approximately $60 million remaining in the repurchase program. Given our strong balance sheet, we are actively using our capital to significantly expand our addressable market, deepen customer relationships and drive market share gains. We believe this capital allocation strategy, coupled with our repurchase program, will drive long-term shareholder value. Now turning to our outlook. The sequential month over month revenue improvements we saw in the first quarter were positive signs, but we remain cautious about the next couple of quarters. Macro conditions continue to be challenging and advertisers remain cautious. Arguably new sources of uncertainty have entered the picture that may impact consumer spending such as U.S. Fed interest rate plans, the growing perception that inflation is stickier than expected and the effect of tightening credit conditions related to debt ceiling discussions and U.S. banking system concerns. Our April results reflected stable, positive year-over-year trends as well as indicators of ongoing macro challenges. On the positive side, impressions for CTV, online video and display were all higher year-over-year, ranging from double-digit to single-digit percentage increases. However the extended macro pressure since mid-2022 has been gradually pushing CPMs down. In April, omnichannel video CPMs were down mid single-digits year-over-year. Overall, CTV revenues were higher, while online video and display revenues were down. The net effect was that our April revenues were roughly flat year-over-year. With the step down in CPMs compared to last year, we see continued revenue pressure in Q2 and are anticipating online video and display revenues will decline in the single-digits while CTV will grow in the double-digits. In light of our overall revenue mix, with both positive trends and continuing headwinds, we anticipate Q2 revenue will grow sequentially from Q1 and be in the range of $58 million to $61 million. Our view on the market rate of growth for calendar year 2023 and our ability to continue to grow market share remains unchanged from last quarter. On the cost side, as we had outlined in our prior earnings call, we have been taking actions to drive incremental productivity across every aspect of our business. For example, we are well on our way to adding approximately 20% incremental processing capacity by the end of Q2, without a corresponding step up in CapEx. Accordingly, as compared to 2022, we expect GAAP cost of revenues to increase at a slower sequential rate each quarter, in the low single-digits. With capacity optimizations, continued strong execution and seasonal revenue increases, we expect second half gross margins to return above 60%. We expect Q2 GAAP OpEx to decline by about $1 million compared to Q1 followed by sequential quarterly increases in the low single-digit percentages thereafter. Given our revenue guidance and our optimized cost structure, we expect Q2 adjusted EBITDA will grow significantly from Q1 and be between $13 million and $15 million or approximately 23% margin at the midpoint. We expect profitability to improve as the year progresses driven by the full effect of our cost reductions, optimizations and typical seasonal increases in ad spend. We anticipate Q3 and Q4 adjusted EBITDA margin levels to be above 30%. For the full year, we expect adjusted EBITDA margin to be over 30%. Turning to CapEx, as a result of capacity optimizations and operational efforts to drive higher value impressions onto our platform, we are lowering our expected investments this year to $12 million to $15 million, more than 60% lower than 2022. These initiatives and others in the pipeline will enable us to incrementally increase free cash flow over time. In summary, our strong execution in the quarter demonstrated our ability to operate successfully within this macro environment. We are on track to drive long-term growth, expand our market share and increase shareholder value. As a result of our durable business model, we anticipate generating free cash flow on par with 2022, delivering margin expansion for the balance of 2023 and beyond, and positioning PubMatic for revenue acceleration when ad spend stabilizes by fostering deeper customer relationships, focusing on high growth omnichannel revenues and launching new products like Activate that incrementally expand our total addressable market. With that, I will turn the call over to Stacie for Q&A.
A - Stacie Clements: Thank you, Steve. [Operator Instructions] First question goes to Shweta Khajuria at Evercore. Please go ahead, Shweta.
Shweta Khajuria: Thank you, Stacie. Rajeev, could you please provide more color and Activate? So Magnite has ClearLine? How is Activate a differentiated product when you approach advertisers and agencies with that product versus industry? I believe there are other competitors as well. And then Steve, how should we think about revenue growth for the year? It looks like there was a comment on industry growth being low to mid-single digit growth rate? Is that what you’re implying for the year? Thank you.
Rajeev Goel: Let me take the first part, and then I’ll turn it over to Steve. So hello, Shweta. So Activate is an extension of our highly successful SPO strategy. Obviously, we’ve been very focused on innovating the digital advertising supply chain, and we take an infrastructure driven approach, what we’re doing with Activate is to address many of the technological barriers inherent in the current ecosystem, that stem from having multiple technology providers like SSPs, and DSPS. And so our focus with Activate is to bring in premium video. So that’s both online video and CTV, that today is trapped or stuck in IO based transactions, and transition that into non-bided programmatic transactions. And so that’s programmatic guaranteed, and also fixed price PNP deals. And obviously, the roster of launch partners that we have is, I think, a great validation of that strategy. Now, with respect to ClearLine, I think our vision is quite different. So I heard Magnite CEO Michael Barrett describe ClearLine as being for quote unquote, corner cases, we view this as a paradigm shift in the industry, to be able to change how the technology is delivered, and do away with many of the challenges which I spoke about earlier, that are inherent in the SSP and DSP structure. And then second, as I understand it, ClearLine is built on top of SpringServe, which is for connected TV transactions only. And publishers need to have the SpringServe ad server in place. And so our solution, our approach, we think, is superior in that it’s ad server agnostic. There’s a fairly fragmented CTV ad server market out there with FreeWheel with Google with PubMatic, with SpringServe, we are not limited to a single ad server. And so we think that’s a significant value proposition for buyers. And then our solution also works with online video and other formats. And as you know the online video market is roughly 3x, the CTV market. Steve?
Steve Pantelick: Nice to reconnect. So with respect to ‘23, revenue growth, we have talked to a lot of customers, looked at our own trends, industry data, and we think that based upon the macro, the trends, that the our best assessment is that overall ad spending will probably grow in the low to mid-single digits. But when we step back and think about so what we’re focused on, and how we’ve been growing over time, we think that we’re going to outpace market growth. And if you actually take a look at the outperformance that we achieved in Q1 relative to our expectations, plus our guide for Q2, we’re probably somewhere near about 4% to 4.5%, 5% year-over-year growth. So we’re feeling good about the trajectory. Clearly, there’s positives and some areas of concern that we’re monitoring closely. But we say that we’re on track to continue to achieve what we’ve been focused on, which is generate free cash flow on par with ‘22. We think we’re well positioned, as you just called out a new product, Activate to accelerate revenues. So when ad spend stabilizes. And ultimately, I think from the long-term perspective, we feel really good about our margin, expansion opportunities, as we establish new levels of efficiency, both on the P&L but also in terms of CapEx.
Shweta Khajuria: Okay, thanks, Steve. Thanks Rajeev.
Rajeev Goel: Thank you, Shweta.
Stacie Clements: Our next question comes from Matt Swanson at RBC. Please go ahead, Matt.
Matt Swanson: Yes, thanks, guys, and I apologize in advance for the background noise. It feels like you guys are maybe incrementally more positive around the CTV this especially that shift to programmatic. Can you talk a little bit more about what is – I know, this has been the vision for a while, if you want to accelerate that right now it will be increased supply? Is it the focus overall on ad spend optimization as well as? Or is it maybe, a slightly weaker demand environment leading to more programmatic to drive CPM?
Rajeev Goel: Yes. Hi, why don’t I take that? And, Steve, feel free to chime in. And Hello, Matt. So, we commented earlier in the year and certainly in the prepared remarks today, that the current macro environment is likely to be and I think we’re seeing this the structural growth driver for programmatic CTV. And as you know, our CTV strategy has been focused on skating to where the puck is going, if you will, which is towards programmatic transactions. And we’ve seen this before. So arguably real time bidding itself came out of the financial crisis in 2009, 2010. So we’ve seen how economic cycles can be a real driver of programmatic innovation and acceleration in our ecosystem. And so I think, compared to last year, there’s a lot of pressure on streaming publishers, obviously, they’ve got to get to profitability faster, which means they need to find more revenue. At the same time, there’s a lot more supply coming into the industry. So the likes of Netflix and Disney and HBO and the like, moving towards ad supported streaming, tears, and obviously, there’s others as well. And then you have the macro pressure. I think all of that creates premium on innovation and new solutions. And then the third piece is that macro pressure from an advertiser perspective, where, of course, advertisers, and you know, CFOs, and CMOs, are looking for more accountability of their spend. So I think all of that sets up well to be a significant tailwind for programmatic monetization, there’s likely to be as Steve has called out some CPM pressure in the near-term. If there’s less budgets, less growth rate and budgets, and there was in the past that we could see some CPM pressure. But I think that’s mostly near-term kind of noise. And so we’re very excited about the CTV growth. And obviously, with our Activate announcement, and you saw some of the publishers involved in that, like LG and fubo. We’re getting great feedback from publishers in terms of their excitement around how this can bring them more dollars.
Steve Pantelick: Yen. Would I just briefly add, Matt, I mean, one of the most important things to know about programmatic is that, of course, we have the resources to consistently invest. And of course, the Activate launch is a demonstration of that. But we see this as a long-term play in terms of expanding addressable market, and our ability to be a leading innovator in this space. So, there’s – as in any market that’s growing rapidly, there’s going to be some pauses or plateaus. But this is a secular, long-term positive growth area for us. And we’re playing an important part for innovation.
Matt Swanson: And then, if I could ask a quick one on Activate. I know, this is probably an impossible question. But I mean, it was great to hear the enthusiasm from your customer base, and also the launch partners. How early do you think you could start to monetize Activate? Like, will it show up in some level in Q2, Q3, like, are people going to be up and running on the platform? I’m not going to have you tried to guess to what extent I know, you won’t tell me anyway.
Rajeev Goel: Well, maybe I’ll take it and then Steve, you can chime in, but Matt pleased to tell you that we’ve already sent out our first invoice to a buyer for Activate. So that tells you that the product is real when it’s up and running. And customers are seeing benefit from it. Publishers are starting to see revenue through those transactions. Obviously, it’s very early days. So it’s a very small base as we get going. But this – the balance of the year is really going to be about creating proof points, growing the customer base, and showing our customers the benefits, that we believe are there from Activate and then positioning it for significant scale and ramp in 2024.
Stacie Clements: Thanks, Rajeev. Our next question comes from Jason Helfstein from Oppenheimer. Please go ahead, Jason.
Jason Helfstein: Hi, guys, so two just. Rajeev, can you talk about the changes that Google announced, as far as kind of trying to bypass or modify the waterfall and how you think it impacts you guys, and just SSPs in general. And then just a follow-up question, in general, like how should we think about Activate take rates versus the overall take rate? Thanks.
Rajeev Goel: Yes, sure. So with respect to Google, the change that they made is to replace waterfall mediation with real time bidding or programmatic auctions. And I think this is, I mean, the only – to me, the only surprising thing is that it’s 2023. And they’re doing it as opposed to 2020 or 2021. And so I think it’s just a further example of the ecosystem, the general movement in the ecosystem towards programmatic auctions, and away from waterfall or other types of more traditional methods. And we could draw, I think, a parallel towards CTV, which is also primarily in waterfall monetization, but transitioning towards towards auctions. I don’t think it has a material impact on us. One way or another, there’s a possibility that it will open up more mobile app inventory. For us, I think it’s a little bit a early to see that. But typically, what we’ve seen is that when impressions are trapped in a waterfall type of setup, then we don’t have full access to the inventory that we would like. And so when things move to real time bidding, then it’s more of a parallel access, where all platforms are called in parallel. And so there’s a upside scenario here where we will get access to more mobile app inventory than we’re seeing today. And mobile is a significant chunk of our business. And so we would look to grow the impression volumes and increase revenue as a result.
Steve Pantelick: And then, I’ll take the Activate, take rate question. So from our perspective, it’s all about meeting our customers needs both the buyers and the publishers. And the key thrust, as we’ve outlined in terms of what we’re trying to accomplish is to make the ecosystem more efficient. And we would anticipate that the economics would reflect sort of that improved efficiency, but it’s also about effectiveness, because what we’re taking out are the hops, we are improving transparency, lower latency, and just overall clear line of sight from the buyer to the to the publisher. And our long-term plan is to work with the customers and publishers and our buyers to find sort of the right economic model that will expand the opportunity. And this is a net new opportunity for the programmatic space. So there’s a lot of opportunity for us to take advantage of.
Stacie Clements: Thanks, Steve. Our next question comes from [indiscernible] at KeyBanc. Please go ahead, Miles.
Unidentified Analyst: Hi, there, thanks for taking the questions. First, with supply path optimization growing and now over 35% of revenue, how is that changing your ability to access inventory from publishers? And then just to follow-up on the Activate product? Any thoughts more broadly on how that changes your relationships with DSPs? Thanks.
Rajeev Goel: Sure. Yes, I can take both of those. So first, with respect to SPO. And access to inventory, I think that was the first part of the question Miles, what we see is that as SPO is a growing share of budgets on our platform, it becomes an additional powerful reason for publishers to work with us, right. So we have increasingly advertisers and agencies, proof points, case studies are conversations in the industry, where those buyers are saying, Hey, if you want to access to the publisher, if you want to access more of my spend, then PubMatic is the platform that you need to be connected into, to receive that spend. So it’s certainly a key part of publisher acquisition conversations. And as we call it out, we’re seeing acceleration and publisher development, with over 65 deals signed in, in Q1 of this year, taking our overall portfolio to almost 1,700. So we definitely see it as a key part of the flywheel, we bring more publishers on board, and then that, in turn, can help us bring more demand on board. And I think Activate, further accelerates that in the sense that the dollars that are flowing on our platform through activate again they’re small today as we just get going but expected to be meaningful over time. Those dollars are only available on the PubMatic platform. So it’s another reason particular reason why publishers will want to work with us in order to get access to those Activate dollars. Now as it relates to DSPs. We think this is very much a positive for DSPs. And the reason is that by definition, the budgets that we are bringing into the programmatic ecosystem, these are budgets that DSPs were not able to access previously. So, these were IO, these are IO budgets for CTV and online video that together total about $65 million per year. And so by definition, DSPs are not accessing these budgets. And what we are doing similar to that Google shift that we talked about towards real time bidding. What we are doing is transitioning these dollars into programmatic starting with non-bidding transactions, PG and private marketplace non-bidding transactions. And then my expectation is that those will evolve to bided transactions over time, that programmatic evolution, and then DSPs will very much be able to participate in those dollars. So, our focus here is on growing the pie for everyone, which is to the DSPs benefit as well.
Stacie Clements: Thank you, Rajeev. Our next question comes from James Heney at Jefferies. Please go ahead, James.
James Heney: Great. Thanks for taking my questions. Rajeev, as we think about what you have done with the Martin acquisition, and now the launch of Activate, should investors expect you to continue building out more tools to support the buy side? And then my second question is for Steve, can you talk about why you expect to see such a pronounced Q2 slowdown after putting up the Q1 upside that you saw? Is it fair to say there is just some element of conservatism or caution? Appreciate the help? Thanks.
Rajeev Goel: Sure. Yes. So, on the first question, our investment in capabilities for the buy side, I would say that’s not new. So, we started on this supply path optimization journey, I think roughly 4 years ago, now, maybe a little bit longer than that. And that was with the realization that we could think about and build a roadmap around how to help buyers generate more ROI on our platform, so that they ship those dollars to our platform. And that, in turn would generate more revenue for our publishers. And so that, again is a journey that started 4 years ago. And so it’s been a key part of our product development and roadmap. And Activate is just the latest solution, extending that SPO roadmap. And with respect to the Martin acquisition, as we think about our roadmap, we are constantly on the lookout for acquisition opportunities, that might help us accelerate that roadmap, and be able to deliver capabilities or deliver functionality faster than we would be able to do on our own building organically. And so we did find – we did anticipate and did find that to be the case with Martin and I would say we continue to be on the lookout for other acquisition opportunities for technology, whether it’s Pub side or by side, that help us accelerate the roadmap. And then Steve, over to you.
Steve Pantelick: Sure. Hi, James. The way to think about our Q2 Guide is in the following context. Obviously, we had a positive April on a couple of key fronts, I shared in my prepared comments. Good year-over-year growth in impression CTV on my video display, so really positive. But what you are seeing flow through the system is, with the extended macro pressure since about mid ‘22 on CPMs, when you look at the year-over-year data, it’s not really a great apples-for-apples comparison. So, a couple things to bear in mind. From a trend perspective, meaning taking how we outperformed in the first quarter, and looked at our guidance relative to that performance, we are right on track with what we would expect on a seasonal perspective, meaning, 8% to 10% sequential movement. And so that is in line with sort of expectations. And I would say it’s realistic based upon the data we have in front of us. Now, going back to the year-over-year comparison, now one thing to remember is last year, second quarter, we grew over to about 27%, so huge quarter last year, so we are obviously coming a tough quarter. And then when you take the step down at CPMs, rolling that through, that’s the outcome is this year-over-year slight decline. Big picture, the core fundamentals of the business are completely on track. So, number one, we are able to continue to deliver marginal profitability. We have been driving our free cash flow in the first quarter was positive, which is a significant accomplishment at this time of the year. And then when you step back and think about the structural changes that we made, we anticipate margin expansion over the course of the year. And so you factor in what I would describe as a pragmatic, realistic guide for Q2, plus our structural improvements in our cost structure. We are going from roughly $8 million in EBITDA in the first quarter to $13 million to $15 million in the second quarter. And so we think that we are being realistic and appropriate given sort of where the macro is, and the underlying trends in our business.
Stacie Clements: Thank you. Our next question comes from Tim Nollen, Macquarie. Please go ahead, Tim.
Tim Nollen: There we go. Can you hear me, okay?
Rajeev Goel: Yes, we can, Tim.
Tim Nollen: Yes. Great. Hi Rajeev. Hi Steve. I would like to pick up on your comments on capacity increases along with CapEx decreases, which is a pretty unusual combination of factors, most companies have to boost CapEx to boost their capacity. And so it’s a great position to be. And I wonder if you could talk a little bit about like, what are the needs for the increased capacity? I mean not to sound naïve about it, but Activate or more CTV trading, just whatever the factors are that will cause you to need more computing capacity. Maybe it’s a qualitative rather than quantitative question, if you could address that. And then the CapEx reductions? Is this maybe like a temporary, like a 1 year sort of thing, or will you have to get back into a CapEx investment cycle at some point to raise your pass? Thanks.
Rajeev Goel: Great. Thanks Tim. So, let me start out with the first part, just reflecting on sort of the benefit of capacity expansion. We have called out that we continued to add significant publishers to our base, as well as getting product up-sells into our existing customer base. And so there is always a potential opportunity to make more incremental revenue by going deeper and broader in our industry. But we were doing it very selectively. I made a comment in my prepared comments regarding sort of our focus on making sure that we are bringing on the most profitable impressions, which obviously has a benefit to the top line, but also the bottom line. And so it’s not really a situation where we can take advantage of the capacity, but the real question is, how can we do that most effectively. And so after the last couple of years of significant build out, we have turned our attention this year to optimize that existing capacity in multiple ways to technically that we are doing that we started that process, latter part of last year, and continued and where we are today is we are ahead of schedule. And we are going to be able to incrementally add more capacity, take advantage, the deeper relationships, we are establishing, the new publisher relationships, and do it without the similar CapEx investments that we have made in prior years. Now, when you step back and reflect on sort of what the benefit of that is, it’s, we believe that it’s going to improve our margins over time. And so as ad spend stabilizes, and then we accelerates, we are going to be in a great position in that regard. We think the kinds of changes we are making in terms of our CapEx approach will likely allow us to deploy less CapEx in the future than we have historically. So, that would, again, be a positive for free cash flow generation down the road. So, when you think about sort of the things we are doing, it’s multifaceted. It’s still focused on growing in our industry. This is an industry that has long-term secular tailwinds for the foreseeable future. And we are structurally modifying how we operate to become even more profitable in the future.
Tim Nollen: And is the CapEx a temporary, 1 year or 2 year whatever kind of a low now or…?
Rajeev Goel: No, we think that we are making changes that will allow us to reduce our rate of CapEx relative to the growth going forward.
Tim Nollen: Great. Thank you.
Stacie Clements: Our next question comes from Dan Day at B. Riley. Please go ahead Dan.
Dan Day: Good afternoon, guys. I appreciate you taking the questions. So, there has been some industry chatter and debate about SSPs, potentially kind of transitioning away from the take rate model, maybe towards a more kind of subscription basis model. Maybe just if you could comment from a high level on the pros and cons of the two approaches, as you see them. Whether the launch of something like Activate more of this sort of two sided marketplace approach to the business changes the calculus, as you think through that over time? Thanks.
Rajeev Goel: Sure. Yes. Dan, my view long-term is that pricing in this industry should be on a subscription basis, rather than on a percentage of revenue, kind of take rate basis. And we work every quarter, every year to continue to innovate our pricing. And I think as the industry consolidates certain real potential to move to subscription pricing long-term. I think tactically, one of the challenges has been that, historically, our economic buyer is the publisher. And within the publisher, it’s usually a VP of Sales, or a Chief Revenue Officer who has a digital ad revenue budget, but does not necessarily have an IT kind of tools and systems budget. And so as a result, the revenue share has been the primary model for pricing within our industry. But as we engage in more supply path optimization as we engage with Activate with buyers, the economic buyer is shifting. And so I think there are some paths long-term towards subscription. And that’s something that we would very much welcome. And I think it would, in and of itself, bring further consolidation to the industry, which is likely a net positive for everybody.
Dan Day: Very interesting answer, thanks Rajeev. just hopefully, one more quick one. So, the buyback track pretty close to free cash flow in the quarter, is the way to think about it for the remainder of year just like the free cash flow dollars are going to be earmarked to stock buybacks until that’s exhausted?
Steve Pantelick: Dan, the way that we have set up the repurchase program is it’s a preset plan. It’s a variety of parameters in place. We had a plan that got authorized for 2 years at $75 million. So, we are just executing against that plan. And we have a defined plan, and then we have an open market plan. So, I think we are going to be opportunistic, relative to the open market opportunities, and then the plan will just operate.
Dan Day: Okay. Great. I will turn it over. Thanks guys.
Stacie Clements: Thank you. We have time for one more question from [indiscernible] at Raymond James. Please go ahead.
Unidentified Analyst: Thank you for taking my question. Would you – just one on Retail Media, how does the fragmentation in the Retail Media ecosystem positions SSPs as consolidators? And in terms of the mechanics of this space, what needs to happen to make SSPs much more critical? Thank you.
Rajeev Goel: Sure. Yes. So, Retail Media, as I have talked about in the prepared remarks is a key part of what we are focused on. And I think there is a couple of reasons why we see the SSP as being highly relevant in Retail Media. So first one, maybe just useful to think about, what are the different monetization opportunities within Retail Media. So, onsite monetization, there is both sponsored products, as well as display your video ad units. And then with offsite monetization, there is audience extension, and retargeting. And if you think about those use cases, the SSP is really core to a number of those use cases. And we talked in the earnings call earlier about what we are doing with Lyft. And one other partner, we are really focused on the audience extension piece. So, hoping those – sorry, on the onsite monetization piece. So, hoping those publishers monetize the inventory that they have on their properties. That’s obviously very core and kind of bread and butter to what we do as an SSP. And when we think about the breakdown of onsite versus offsite monetization, when you include sponsored listings, onsite monetization is the majority of monetization inside of commerce media. So, we think that’s really sets up the SSP to be a critical part of the stack for any participant in commerce media. And then as we also talked about, we think the opportunity is actually much bigger than purely retail, where there is a lot of businesses that have transactions and data, like Lyft, for instance, that are not strictly retail, or in FinTech in travel, where we can extend our capabilities. So, we still have work to do, I would say to round out our portfolio of offerings to be fully relevant in all aspects of onsite and offsite monetization. But we expect to bring more components to market over the course of this year as it is one of our two key innovation focused areas alongside supply path optimization.
Unidentified Analyst: Thank you. Very helpful.
Stacie Clements: Thank you all. We are just about at the hour and there are no more additional questions in the queue. I am going to turn it back over to Rajeev for closing remarks.
Rajeev Goel: Thank you, Stacie. We delivered strong execution in the quarter as the industry continues to consolidate. We are building deep customer relationships at a new publisher logos at an accelerated pace and have a robust pipeline of buyers interested in supply path optimization. Of course, we are really excited to have launched Activate which allows us to bring CTV and online video insertion order transactions into the programmatic ecosystem tapping into a $65 billion, nearly $65 billion TAM expansion. On the operational side, we anticipate incremental margin expansion throughout the year as we continue to optimize prior investments and drive efficiency throughout our business, resulting in strong cash flow. The ecosystem is rapidly evolving and we are poised to grow faster than the market rate of growth. Also, we look forward to seeing many of you at our upcoming investor events including Oppenheimer’s Virtual Conference on May 11th Evercore’s conference on May 31st, Jefferies Software Conference on June 1st. In addition, we will be hosting in person meetings with RBC and B. Riley, please reach out directly to those firms or contact Stacie or Keenan, with Investor Relations. Thank you all for joining us today.